Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Heritage Financial’s Third Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, instructions will be given at that time. (Operator Instruction) As a reminder, this conference is being recorded.
 I would now like to turn the conference over to our host, President and CEO, Mr. Brian Vance. Please go ahead. 
Brian Vance: Thanks, Deck, I appreciate that. And from the list of participants that Deck shared with you, I see we have a number of our investor friends from the East Coast and I wish all of you a speedy recovery from challenges you’ve had the last several days.
 Attending with me here is Don Hinson, our CFO. Our earnings release went out yesterday, hopefully you’ve all had an opportunity to review the release prior to the call. And today I’m going to spare you from reading the forward-looking statements, but I will ask that you refer to the forward-looking statements in our recent press release, as well as referring to forward-looking statements as we go into Q&A session a bit later.
 I’d like to start off with some highlights of our third quarter, diluted earnings per share were $0.19 for the quarter ended September 30, compared to $0.12 in the prior year ended September 30, 2011, and $0.21 per share for the quarter ended June 30, 2012.
 Non-performing originated loans decreased to 1.5% of the total originated loans at September 30, down from 1.69% at June 30, and 2.94% at September 30, 2011. Originated loans receivables increased $18.3 million, or 2.1%, during the quarter ended September 30, and increased $69 million, or 8.6%, during the 12 months ended September 30, 2012.
 Additionally, the company announced a definitive agreement to acquire Northwest Commercial Bank. Just a few comments on earnings, as I indicated, we posted net income of $2.86 million, $0.19 which is a slight increase over $1.84 million of last year, or $0.12 per share and then a slight decrease from Q 12 net income of 3.19% [sic] [$3.19 million], or $0.21 per share. Overall, I believe this is a solid earnings quarter with nice improvement in our credit metrics and loan growth.
 I’d like to turn it over Don Hinson, take a few minutes to cover our balance sheet income statements and comments on acquisition accounting. Don? 
Donald Hinson: Thanks, Brian. I’ll start on the balance sheet. Total assets increased slightly from the prior quarter end were $1.37 billion at September 30. Net loans increased $3.6 million during the quarter, mostly due to the increase in originated owner occupied commercial property loans. Net originated loans increased $18.6 million for the quarter.
 Total deposits increased $20.4 million during Q3, quarter-over-quarter total non-maturity deposits increased $32.3 million, while CDs decreased to $11.9 million. Our non-maturity deposit ratio continue to be a very strong 74% of total deposits, a percentage of non-interest demand deposits to total deposits increased 22%.
 Total equity increased $2.1 million during Q3. The ratio of tangible assets decreased slightly to 13.9% at September 30 from 14.0% at June 30. Our tangible common book value common share increased $12.40 at September 30, $12.27 at June 30. The changes in these metrics are driven by the net income for the quarter partially offset by cash dividend in the amount of $1.2 million during the quarter.
 During Q3, there were no stock repurchases performed in conjunction with our stock repurchase program. This is due to the fact that our -- the price of our stock in Q3 was averaged to 117% of tangible book value exceeded our current threshold for buyback.
 Moving on to the effects on acquired loans, in addition to the effects on net interest margin that I’ll discuss later, during the quarter, we recorded provision for loan losses on purchase loans in the amount of $590,000, compared to provision of $419,000 in the prior quarter. The provision in Q3 was due mostly to acquired loans, which defaulted during the quarter.
 The change in FDIC indemnification asset was eight $490,000 expense in Q3, 2012, compared to a $19,000 expense in Q2. As a reminder the FDIC indemnification asset relates to covered loans obtained in the Cowlitz acquisition.
 Our net interest margin for Q3 was 5.10%, this is a 15 basis point decrease from 5.25% in Q2. The decrease in margin was due to a combination of lower note rates on new originations, re-price of existing loans, and lower effects of incremental discount accretion on loan yields, partially offsetting the decline in loan yields was a decline in our cost of funds. Our cost of funds for Q3 decreased to 48 basis points compared to 52 basis points for Q2. The cost of all deposits decreased 38 basis points in Q3.
 The effect on the net interest margin of incremental discount accretion over stated note rates on the acquired loan portfolios for Q3 was approximately 49 basis points, compared to 55 basis points in Q2. Without the effects of incremental discount accretion, net interest margin was 4.61% in Q3, compared to 4.70% in Q2. Due to the low rate environment in which we see assets re-pricing at a faster rate than deposits, we expect margins to continue their declining trend.
 Non-interest income was $1.5 million for Q3, 2012, decreased from $2.1 million in Q2. This decline was due mostly to the change in FDIC indemnification effort. Non-interest expense decreased $367,000 to $12.5 million in Q3, to $12.9 million in Q2. This decrease occurred even with approximately $180,000 in acquisition-related costs associated with the upcoming pending acquisition. For Q3 2012, our efficiency ratio was 71.5%, compared to 70.4% in Q2. This increase was due mostly to lower net interest margin, as well as lower non-interest income.
 Overhead expenses are expected to increase in Q4 due to additional cost associated with the pending acquisition, which is expected to close in Q4. Brian will now have an update on overall loan growth and loan quality changes, as well as some closing comments. 
Brian Vance: Thanks, Don. I’ll start with loan growth. During Q3 2012, we booked a total of $56 million in new loans compared to Q3 2011 of $49 million. These totals represent new loans to new borrowers and new loans to existing borrowers. As we typically have been doing, we analyzed all of the new loans for the quarter over $300,000, which represented a total of $36 million, and the average loan size for the new loan production over $300,000, was $969,000. Average note rate for the new loans in Q3 was 4.81%, compared to 5.25% in Q2.
 Some comments on loan quality. Nonaccrual originated loan decreased $1 million from the prior quarter. The decrease during Q3 was due to $1.2 million in paydowns, $228,000 in transfers to OREO, and $276,000 in charge-offs offsets by $648,000 additions to nonaccrual loans. Of the $588,000 in Q3 charge-offs, $376,000 were previously provided through specific reserves.
 Additionally, other charge-offs taken in Q3 would have had general reserve allowances. Our Q3 provision of $215,000 for the originated loan portfolio was essentially for the new loan growth experienced during the quarter.
 OREO decreased $1.3 million during Q3 to $7.3 million. OREO totals remained abnormally high from a historical perspective for our bank, though we believe through our ongoing marketing efforts, these totals will be lower at year end. The ratio of the allowance for loan losses to nonperforming originated loans increased to 150% from a 145% at the prior quarter end. Generally, I believe the total nonperforming assets will continue to improve, not only through the balance of the year, but through 2013 as well.
 I’d like to speak to capital management for a moment. In the past nine months, we have declared two special dividends, and December of 2011, we paid a $0.25 per share special dividend, and in June of this year we declared a $0.20 per share special dividend, which was paid July 24. As we have communicated several times, the overarching strategy of the company is to leverage our strong capital position through a variety of organic growth strategies, coupled with continuing acquisition strategies.
 Our dividend strategy in 2011 was to payout essentially 100% of our profits through regular and special dividends, so as not to grow our already strong capital position. As we have previously communicated, we will consider, but not commit to, a similar dividend strategy in 2012 as we did for 2011. Considering all previously paid dividends year-to-date, both regular and special, including the $0.08 just declared on October 30, we will payout a total of $0.50 per share versus year-to-date EPS of $0.67, or payout ratio of 75%.
 As previously mentioned, we announced the acquisition of Northwest Commercial Bank, which is scheduled to close before year end. When closed, this acquisition is expected to decrease our tangible common equity by a range of 70 to 80 basis points.
 I’d like to just speak to some key performance highlights for Q3. Return on average assets for the quarter was 0.84%. I’ve been discussing the importance of achieving a return on average assets of greater than 1% at this point in the recovery cycle, and while we fell short of 1% ROA in Q3, our 2012 year-to-date return on average asset average is 1%. Our efficiency ratio increased to 71.5% in Q3 from 70.4% in Q2, which was caused by declining revenue as our quarter-to-quarter non-interest expense decreased slightly.
 And as Don previously mentioned, Q3 also contained approximately $180,000 in merger-related expenses. We continue to be mindful of the potential of top line revenue shrinkage, due to the likely margin compression, which means we need to continue to focus on overall expense management. As to the overall balance sheet growth, we were able to post encouraging growth on both sides of the balance sheet this past quarter.
 I’ll close with some general outlook for the balance of 2012. We’ve been pleased to see relatively strong real-estate valuation recovery with most real-estate sectors in King County, or Seattle, but less so in surrounding counties. There are still some areas in the outlying counties of Puget Sound region where real estate valuation recovery is sporadic, but it is slowly improving.
 The loan growth we experienced in Q2 and Q3 is not likely to occur in Q4. This is due to the cyclical nature of our balance sheet primarily with ag loans paying down as well as other scheduled loan payoffs we are aware of that are likely to happen in Q4.
 As we have consistently reported, M&A activity is a significant part of our growth strategy and we are pleased to announce the acquisition of Northwest Commercial Bank during the third quarter. We are beginning to see more normal bank acquisition activity in the Pacific Northwest and expect the pace to continue to increase as we move through 2013.
 I would welcome any questions you may have. And once again we refer you back to the forward-looking statements in our press release. And with that we would open the calls up for any questions that maybe out there. 
Operator: (Operator Instructions) Our first question will come from the line of Jeff Rulis with D.A. Davidson. 
Jeff Rulis: On the construction loan growth, could you provide a little color as to where that’s coming from geographically in your footprint? Is it pretty broad or is it a specific region perhaps? 
Brian Vance: I think it’s probably pretty broad. I do know that we have picked up a couple of construction loans in the Vancouver, Portland markets. But we’ve also done new construction loans here in the Puget Sound region. So I think it’s a fairly broad experience and it’s typically in the commercial, the construction increases is coming out of the commercial sector. 
Jeff Rulis: And your sort of seasonal comments about loan growth expected to taper off a bit, that would apply to this segment seasonally? 
Brian Vance: Yes, and just to clarify Jeff a little bit more. I mentioned the ag loans, which primarily, almost exclusively come out of Central Valley Bank affiliate. As you would expect, there are significant agricultural paydowns on operating lines of credit that happened in late Q3 and Q4. So that’s one reason for that comment. The other expected paydown we have, there is a construction loan previously booked, that we’re anticipating will pay off through permanent financing, which was part of our knowledge going into the credit. So it’s that sort of cyclical-type activity is why we don’t believe net loan growth is likely to happen during Q4. 
Jeff Rulis: And maybe a couple of questions on the acquisition, any update on the loan deposit asset totals as of 9/30? Are they pretty similar to the announcement date? 
Brian Vance: Yes, we continue as I think expect and as is fairly typical on any acquisition once the definitive agreement is signed, we are part of their monthly Board meetings. And we have access to financial information and we are confident and feel good about asset values remaining pretty static as we move through the early stages of the announcement. 
Jeff Rulis: Close date most likely very late in the quarter, mid-quarter, any idea there? 
Brian Vance: I am guessing that we are looking at mid-month of December. That’s our best guess at this point. 
Jeff Rulis: It sounds good. And then any last one for Don, just on the merger expenses, any additional guidance as far as what you expect in Q4 on that, within the merger expenses? 
Donald Hinson: I would expect probably another $300,000 and $400,000 in Q4. 
Jeff Rulis: Okay. And then outside of the merger expenses, a pretty clean quarter cost wise that, is that still expected or are you still trying to drive some efficiencies on the flat cost line item? 
Brian Vance: Yes, as I comments indicated, I think as all of us face through the prospects of declining margins, expense management becomes even more of a focus, I think in most institutions and certainly that’s the case with us. We continue to evaluate efficiencies at all levels in the company, and I think that while Q4 is not likely to contain marked expense improvement, I think that we’re hopeful that we can continue the downward movement exclusive of merger costs, et cetera. 
Jeff Rulis: Okay. That’s it from me. Thanks. 
Operator: Our next question will come from the line of Tim O’Brien with Sandler O’Neill. 
Tim O’Brien: Hi guys. This is Andrew on for Tim. A couple questions from us. I’m curious if you have the balance of the 30 to 89 days past due loans at September 30? 
Brian Vance: Can you repeat your question please? 
Tim O’Brien: The balance of 30 to 89 day past due, early stage delinquencies? 
Brian Vance: The percentage? 
Tim O’Brien: Yeah, sure. 
Donald Hinson: I think I’m guessing it’s about 30 basis points, just kind of looking at an average here, so…. I think it’s probably 30 basis points. 
Tim O’Brien: Great, thanks. And then it sounds like you have the ag loans pay down, which is pretty normal, but what’s the pipeline looks like for traditional commercial business loans and/or owner occupied CRE? 
Brian Vance: Let me comment to the year as a whole, and then I’ll comment more currently. I think we’ve seen as we compare the pipeline, commercial loan pipeline in 2012 to 2011 as we move through the year, it’s been lighter generally this year than last.
 On the other hand, we’re seeing a little bit of a tick up just last month or two in the pipeline. So we’re encouraged with the potential of production remaining fairly strong during the quarter. But I think it’s going to be offset by the cyclical nature that we’ve been talking about ag loan payoff and couple of other scheduled pay downs. So that should give you a little more color in general. 
Tim O’Brien: Great, thank you. Those are all of our questions. 
Operator: (Operator Instructions) Our next question will come from the line of Jacquelynne Chimera with KBW. 
Jacquelynne Chimera: Quick question, just a clarification on the loan growth that you were talking about in the quarter, Brian? When you say the payoff and everything and the net loan growth might be a little compressed. Does that take the covered portfolio into consideration or is that just purely on the originated portfolio? 
Brian Vance: Yeah, my comments go more to the originated portfolio, obviously ag loans and scheduled pay downs are originated activity. And then you balance that against what I’m hoping to be a fairly typical production of new loans in the quarter. That’s generally where my comments are focused. Little hard to predict what runoff might be on the acquired portfolio that’s certainly going to be there. My guess is probably going to be similar to the what it has been the last couple of quarters not aware of any abnormal payoff activity in the acquired portfolio for the quarter. 
Jacquelynne Chimera: Okay. So just going off of past quarters data, that runoff in the covered portfolio might drive overall growth to be flat or maybe slightly down? 
Brian Vance: I think that’s possible. 
Jacquelynne Chimera: Okay. 
Brian Vance: And again early in the quarter, it’s tough to predict a variety of things. But I think that’s fairly decent generalization. 
Jacquelynne Chimera: Okay. Thank you, that’s good color. And then maybe question on the deposit service charges. Was there any sort of a restatement there? What happens in the quarter, I notice that there was a shift in past quarters as well? 
Donald Hinson: Yeah, we did a little bit of reclassification that kind of sync up with our regulatory reporting. 
Jacquelynne Chimera: Okay. So just sort of a numbers thing, not anything meaningful? 
Donald Hinson: Yeah, that’s correct. 
Jacquelynne Chimera: Okay. 
Donald Hinson: We didn’t change the total net interest income. We just did a little bit of re-class kind of match up some of our regulatory reporting. 
Jacquelynne Chimera: Okay, that’s helpful. I apologize if you didn’t hear all the background noise I’ve got a parade going on behind me. Brian I wondered if you could touch on how conversations have changed over the past three months, just given I know you can’t go into too many details, but just given the recent announcements that we have coming out of your footprint, inclusive of your announcement? 
Brian Vance: The parade wouldn’t be the World Series Giants winning parade, would it? 
Jacquelynne Chimera: It would be and I have front row seats of my window. 
Brian Vance: Okay. Well, one of these days maybe the Mariners can have a similar parade, we can only hope. I certainly refer to the M&A activity picking up in the Pacific Northwest. We’ve seen several acquisition announcements in the last couple of months. My take on that, as I indicated, I think we’re going to see increased activity for 2013. I don’t think it’s going to be a landslide of activity. I think it’s just going to be a generally building activity for any variety of reasons. I think that as margins continue to compress for all institutions, and especially those that may be starting from a lower net interest margin to begin with, that only exacerbates profitability issues.
 I think you add on continuing regulatory costs, I just think it’s going to continue to put pressure on folks to begin to have some serious discussions in that regard. So I continue to be optimistic. We we’re able to do a deal in Q3. I realize it was a small deal. But as I’ve said several times, I’d characterize it as that’s kind of a bunt single. But we put together a few of those, and begins to be meaningful, and I’m encouraged that as we finish out 2012 and move more specifically into 2013 that there will be more activity in that regard. 
Jacquelynne Chimera: Okay, thank you. That’s helpful Brian. Those were all my questions. 
Brian Vance: Okay, thanks. Enjoy your parade. 
Operator: We have a question from the line of Tim Coffey with FIG Partners. 
Tim O’Brien: Brian, how would you classify the production that we saw in the third quarter on the loan side, the $50 million some-odd in new loans? Is that kind of standard or was that more of an outlier? 
Brian Vance: I think it was pretty standard, it might have been a little stronger than in previous quarters but as I said, I think it was probably -- compared to Q2 was $49 million. So $56 million was a little bit stronger. I don’t have Q1s number. But it was certainly stronger than I’d anticipated going into the quarter, which was a pleasant surprise, but I think probably a little bit stronger. 
Tim O’Brien: Okay. I saw in the text that you booked a small gain on sales OREO. We’re seeing improving property prices across the Pacific Northwest, mostly in the Puget Sound, exclusively. Do you anticipate there will be possibility for additional gain on sale of OREO going forward? 
Brian Vance: I think so. We do a pretty good job as marking OREO assets to value before we move them in. And I think you look back historically, our OREO costs have not been relatively high compared to others. But as I look at what’s less than the OREO bucket and see what properties are selling for, I would agree with you. I think that we’re certainly seeing activity. OREO numbers are going down, and we’ve booked a little bit of gain. I wouldn’t be surprise with that may happen again in Q4. 
Tim O’Brien: Okay, great. Thanks, the rest of my questions have been answered. 
Operator: Our next question comes from the line of Ross Haberman. 
Ross Haberman: Quick question, if we do see a premature rise in rates, how are you positioned for that? And will you possibly get squeezed initially because deposits would go up a little faster than your asset side? 
Brian Vance: Yeah, I think Don wants to take a shot of that. 
Donald Hinson: I think that we’re in good shape. We’re asset-sensitive. Some of the floors as think of re-pricing have become less of a factor in some way. So in addition our investment portfolio is short. We have quite a bit of that rolling off in the next year or two. So I think that I think we’re in good shape, if we see a premature before 2015, I would welcome that, if we did. 
Ross Haberman: And just one final question on the reinvestments, when your mortgage backs are rolling off presently, how are you reinvesting that cash today? 
Donald Hinson: The 2 main areas I’m investing in are further mortgage backs and municipal. 
Ross Haberman: Even with these very low rates the mortgage back sales still make sense? 
Donald Hinson: Yes, we do. 
Ross Haberman: Okay. Thank you, guys. 
Operator: (Operator Instructions) At this time, there are no further questions from the phone. 
Brian Vance: So, Deck I appreciate you hosting the call and I appreciate all of you that have called in today for the earnings conference call, and we will see you next time around. Thank you. 
Operator: That does conclude our conference for today. Thank you for your participation, and for using AT&T Executive Teleconference. You may disconnect.